Operator: Good afternoon. My name is Selena, and I will be your conference operator today. At this time, I would like to welcome everyone to the Second Quarter 2015 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. Thank you. I will now turn today's conference call over to Mr. Stephen Cootey. Please go ahead, sir.
Stephen Lawrence Cootey - Chief Financial Officer, Treasurer & Senior VP: Thank you, and good afternoon. Joining the call on behalf of the company today are Steve Wynn, Matt Maddox, Kim Sinatra and myself here in Las Vegas. Also on the phone are the operational management teams from both our Las Vegas and Macau properties. Before we get started, I just want to remind everyone we will be making forward-looking statements under Safe Harbor Federal Securities law and those statements may or may not come true. And with that, I'm going to turn the call over to Mr. Wynn.
Stephen Alan Wynn - Chairman and Chief Executive Officer: Good afternoon, everybody. You've seen our numbers. They're sort of, I think, probably no surprise to anybody. Macau continues to be more of a question than a certainty as we head through 2015 and towards our opening on March 25 of Wynn Palace in 2016. Our construction and our staffing is on schedule. We've made some adjustments in the staffing until we have a clearer picture of the game total that will be allocated to us by the government. But in the meantime, we're finishing this building. I would mention that, as I have in the past, that the design of this building and its creation over five years ago was done in anticipation of market conditions perhaps not as critical as they are today, but under the general assumption that the robust and unprecedented growth in the market would not be the kind of growth we'd be experiencing in 2016 and that we would face competition for which we had great respect. Our fellow operators in Macau are intelligent, they're extremely well-financed and they're quick to learn and to accommodate the things that they see in other hotels and to accommodate changes necessitated by their own experience in that market. It's a very, very sharp place. The buildings that are built represent remarkable diversifications into non-gaming attractions. And, of course, that adds to the competitive nature of our situation. We designed the hotel, as I say, in anticipation of just such an environment, perhaps not quite as critical as the one we're facing, but we said we had to be clearly, clearly a superior choice competitively. We enjoy a segment of the market that we wanted to continue to enjoy, the upper premium, the VIP business and the top end of the mass marketing. We enjoy that advantage today and we intended to increase that advantage by the opening of Wynn Palace, such worthy assumptions of its creation, and I'm happy to say that that was the result of the construction and the development. Our staff, headed by Mr. Gamal Aziz and Ian Coughlan and Linda Chen in China, are doing an excellent job in preparing the place to make a good opening and make a good impression on our guests, so that hopefully the Wynn Palace will be everybody's first choice when they go to Cotai. In Las Vegas, we're enjoying a comfortable business, I think is the right word for it. It's not an aggressive growth by any means, but we are enjoying non-casino revenue that is acceptable. Our slot machine and table games are growing with one exception. This should come as no surprise to professionals on this call, and that is that since we were the operator of choice for the international baccarat business, namely from China, that if anything interfered with that business, we would of course experience more of a penalty in that regard than our competitors since we had more of those kinds of people attending our hotel. When that group is diminished we, of course, feel it critically. So our baccarat table business has suffered, mainly because of the absence of a number of Asian players. But business from Latin America is still good, and perhaps that explains why we had clearly the most powerful performance in this quarter of any operator in America. And with that, I think I've sort of summarized whatever I can add to the conversation today, and I'll be glad to take questions along with my colleagues.
Operator: The first question comes from the line of Joe Greff.
Stephen Alan Wynn - Chairman and Chief Executive Officer: Hello, Joe? I think we lost him.
Operator: First question comes from Carlo Santarelli.
Carlo Santarelli - Deutsche Bank Securities, Inc.: Hey, good evening, everyone. Steve, just in relation to some of the comments you made around Cotai, what is your level of comfort with the property opening later in the first quarter? And secondly, how many iterations have you guys gone through recently to readjust the casino floor of that property for the new Macau that you currently envision here over the medium-term?
Stephen Alan Wynn - Chairman and Chief Executive Officer: I think, first of all, I'm comfortable about the March 25 date. The government happily gave us 100% of our last and final request for construction labor, and so we're fully staffed at 7,000 construction workers. So, we're pretty sanguine at the moment, although anything is subject to change. We're sanguine about the March 25 date. But I want to add that when we say March 25, the way this company operates, we always want to have two weeks – 10 days to two weeks of practice where we let all of our employees stay in all of the rooms, order room service, use the telephones, have our computer systems fail, have our elevators have a chance to fail, we go to our backup systems, we use all of our emergency systems, we deal the games to each other. We do everything to anticipate what our guests, when we open to the public, will experience so that if there are any glitches or shortcomings, we experience them, not the public. So, when I say we open on March 25, the hotel will be a campus in February, and if anything interferes with our ability to use March as a campus to practice, then of course I wouldn't hesitate to postpone the opening by a week or two. But, when I said March 25, that anticipates all of the things that are necessary to open a hotel on Wynn standard. Matt, you can talk about adjustments to the floor and the compendium.
Matthew O. Maddox - President: Sure. So, we continue to look at various iterations and the mass market clearly is taking little more of a roll out of Cotai right now than it was previously, 18 months ago, and the way the facility was designed, it's very flexible and functional. So, right now, we have a program in place for both Peninsula and Cotai that we're comfortable with.
Carlo Santarelli - Deutsche Bank Securities, Inc.: Great. Thanks, Matt. And if you wouldn't mind, just one housekeeping item. Could you clarify or quantify the hold adjustment in the period in Las Vegas relative to theoretical? Is that about $9 million, somewhere in that ballpark?
Matthew O. Maddox - President: That's about right. And in Macau, if you notice on the mass market side, you're between $12 million to $15 million.
Carlo Santarelli - Deutsche Bank Securities, Inc.: And what would – the new theoretical in Macau is somewhere in the $20 million to $22 million range?
Matthew O. Maddox - President: Yes. We put our last 12 months in there at $20 million, which is what we're using. So it's...
Stephen Alan Wynn - Chairman and Chief Executive Officer: And I have taken exception to that with Matthew privately. I think the right number is closer to $22 million because of the dominance of baccarat.
Carlo Santarelli - Deutsche Bank Securities, Inc.: Understood.
Stephen Alan Wynn - Chairman and Chief Executive Officer: But if you look at us historically, in calculating hold percentage, because we have so many buy-ins at the cage, which is completely atypical from the American experience, usually we know exactly what the drop or the handle is in a casino in Las Vegas. For those of you who may not be quite familiar with this term, when someone gambles at a table, at any table in the world, they have to buy chips. They come to the table, they give the money to the dealer and the dealer drops the money in the box and slides the chips out of the rack to the customer, and that's the buy-in. The other way that people get chips is with credit. And when they take a marker, if they're approved by the supervisor in charge or the team leader, then the chips are slid across the table out of the rack just as if they had paid cash and a credit slip associated with a marker goes into the box in lieu of cash. Now, there are other pieces of paper in the box that represent changes to the inventory in the rack during the eight-hour shift. Fills, if there's a need for more chips when the customers are winning or credit slips if the customers are losing and the rack gets overcrowded with the chips that are taken back, we return them to the cage. They don't have anything to do with handle. What we measure is the cash and the credit slips associated with markers. That tells us the total amount of activity. We measure that against the changes in the opening and closing inventories of the shift and that tells us the performance of the table, or the win. In China, and virtually no one buys chips at the cage in America, at least in our experience over the last 40-odd years, and then walks to a table and gambles. In China, they do, in fact, do exactly that. I don't know whether it's because they're using their credit card or they're cashing in whatever RMBs they have or whatever, but people go to the cage, buy chips, and then circulate around the casino and bring the gaming tokens to the table with them. That means that when we count the boxes, it's not a measurement truly of the drop or activity in the casino. The handle, it's referred to in the alternative. So we've started now taking the buy-ins in the cage, at the cashier, and the money and credit slips in the box, although in the mass casino we don't give credit at the table. But, we take the cash and the buy-ins at the cage and we try as close as we can to then re-create a comparable number that all of you would understand as handle or drop for the level of activity at the tables. I hope I'm being clear enough in this explanation. And based upon this, we've gone back and tried to give a comparison of the real hold compared to the theoretical hold of the mass table game activity in China. And my experience, because of the dominance of baccarat, that that number should be between $22 million and $23 million. Matt thinks it should be $20 million, but at any rate it's arbitrary. You can make an adjustment any way you'd like. If you look at us historically, it's what I said, $22 million, $23 million. Matt is – the whole financial structure of this company is extremely conservative, as you know, so Matt decided to say, well, it's $20 million. And I think that's on the low side, but call it what you may. Go ahead, Matt.
Matthew O. Maddox - President: Anything else? I hope that was clarified how it works. Many people don't really understand casino accounting or what handle is, and I thought it might be a good idea to slide it in.
Carlo Santarelli - Deutsche Bank Securities, Inc.: Yeah. Appreciate it. Thank you very much.
Operator: The next question comes from Joe Greff of JPMorgan.
Joseph R. Greff - JPMorgan Securities LLC: Hey, guys, again. Can you hear me okay?
Stephen Alan Wynn - Chairman and Chief Executive Officer: Yeah.
Joseph R. Greff - JPMorgan Securities LLC: Great. Two questions. Last week we heard from our friends at Las Vegas Sands, a little bit more of ability to take out costs along the lines of player reinvestments and direct marketing expenses and some other things as well. Can you talk about your ability to find expenses to reduce? Obviously we're aware of the challenges in Macau. And then my second question, maybe it's for the operating guys in Macau. Can you talk about the last two months or so of impact or lack of impact from phase two where you might be facing some revenue, additional revenue pressures if you can sort of parse through that? Thank you.
Stephen Alan Wynn - Chairman and Chief Executive Officer: Hey, Ian. Why don't you answer Joe's questions?
Ian Michael Coughlan - President, Wynn Resorts (Macau), S.A., Wynn Resorts Ltd.: Sure. So on the costs side, we – obviously two-thirds of our operating expenses are related to payroll. In absorbing a COLA adjustment to 5%, we've made efforts to bring down our payroll costs. We've had natural attrition throughout the year where we've not replaced people. We're about 173 FTEs down over the same period last year. We continued to push voluntary time off, which seems very appealing to the workforce, and between that and over time containment, we're looking at maybe US$20 million annualized in reduced payroll this year. We're in a marketplace where we're six to eight months out from opening Wynn Palace. We are doing a huge amount of training on property getting people ready for promotions to the new property. So we're being careful about reducing payroll with the need for 8,000 workers coming up between six and eight months' time. So, we're going to migrate a number of people over to Wynn Palace and that really is the opportunity for Wynn Macau to recalibrate back at Wynn Macau and look at the way our business is structured and streamlined in this property.
Stephen Alan Wynn - Chairman and Chief Executive Officer: We're carrying...
Ian Michael Coughlan - President, Wynn Resorts (Macau), S.A., Wynn Resorts Ltd.: Looking at other...
Stephen Alan Wynn - Chairman and Chief Executive Officer: I'm sorry, Ian. I was listening to you, Ian, and I want to remind everybody that we're carrying extra baggage in our expenses today in spite of the reductions mentioned. We're packing a lot of people in Macau Peninsula operation in anticipation of Macau. So that is one place where our expenses are artificially inflated as we warehouse people that we're planning to take next door. Secondly, I want to remind everybody that with the exception of maybe $1 billion, we're carrying most of the expenses of the financing of Macau in our existing financial condition. So we have relatively small amount of money left to pay compared to what's in that building and in that project already, so that the impact of whatever cash flow the Palace generates will seem rather dramatic because the expenses of the capital are in – almost $3 billion is in already of the $4 billion, maybe a little more. I don't know, Matt. What's the total?
Matthew O. Maddox - President: You're exactly right. We have $1 billion outstanding on our revolver at June 30.
Stephen Alan Wynn - Chairman and Chief Executive Officer: That's right. But, we're carrying the rest of it in today's numbers, which is worth noting, I think. Go ahead, Ian, if you have some more.
Ian Michael Coughlan - President, Wynn Resorts (Macau), S.A., Wynn Resorts Ltd.: So we're obviously watching other expenses. We've trimmed advertising, we are re-contracting with a number of big contracts that we have with suppliers et cetera. So we're about 12% down quarter-over-quarter in our operating expenses, so we continue to watch it. But, the big opportunity is when we build in labor into Wynn Palace and we can reform back at Wynn Macau, we'll see a drop in head count here and we're getting ready for that. On the revenue side, clearly the junket market continues to be challenged in the way it's been challenged for the last 12 months, 14 months. On the mass casino side, we've taken advantage as described previously, of the additional room inventory. Currently 51% of our room inventory is going to the mass table games and mass slot area, and that's worked out very successfully. We clearly see difficulty at the very high level of mass. Those players are impacted in the same way that the junket and direct players are impacted from a liquidity perspective. But we've found a very rich stream of customers in the mid-tier, the business class of mass, and that continues to grow for us. The grind aspect of mass is stable. On the hotel side, you can see the numbers are still in the mid – occupancy still around 96% with a decent average rate. The town's got a lot more competitive, particularly in Cotai, with the addition of more Galaxy room inventory, and more to come with Studio City. But we continue to drive high occupancy with a good rate. Food and beverage is impacted in fine dining, particularly because of the lack of junket complementaries, and that's been the passion since late last year. So where we can, we're driving revenues and there has been some stability looking at junket turnover. That's been pretty stable over the last six months and we've seen the retail revenue stabilize over the last two or three months. The decline has softened considerably.
Joseph R. Greff - JPMorgan Securities LLC: Great. Thanks Ian. Thanks, Steve.
Stephen Alan Wynn - Chairman and Chief Executive Officer: Yes. Sure.
Operator: Our next question comes from Shaun Kelley of Bank of America.
Shaun C. Kelley - Bank of America Merrill Lynch: Great. Thank you. And thank you for taking my question. Maybe just to change topics a little bit to talk for a moment about Las Vegas. Steve, you mentioned obviously you guys continue to post some of the biggest numbers of any single property in the market. But last quarter I think in your comments, your tone on the market had changed a little bit, and I was just curious on kind of where do you sit now in terms of your outlook for Vegas? And are things improving off the bottom in what you were seeing back in May?
Stephen Alan Wynn - Chairman and Chief Executive Officer: You want to take that Matt?
Matthew O. Maddox - President: Sure. So, I'm sorry, Shaun, could you repeat that one more time – in Las Vegas?
Shaun C. Kelley - Bank of America Merrill Lynch: Yeah, sure. Just your overview on Las Vegas. I mean I think last quarter there was sort of a notable tone shift, right, in terms of the outlook for forward bookings and how the summer was progressing. And just kind of curious on where you guys sit now that we're actually in the middle of it?
Matthew O. Maddox - President: Sure. I just wanted to make sure that's what you asked, because Steve addressed that at the opening of the call that Las Vegas is, one month is good, and then you see June numbers come out, not so good here on the gaming side. So, Las Vegas is a grind right now, and we think we're in a good spot in our position in the business. But there's no accelerated growth going on here, in particular because of the international business.
Stephen Alan Wynn - Chairman and Chief Executive Officer: And, for example, last June we held 32% on a couple hundred million dollars. This year, our casino is behaving normally at over $21 million, but we made $60 odd million last year. We have these – we get the benefit of these tremendous big players. But when you have one of these giant months where you win all the money, the next year it always looks a little funny. In the end it all evens out, but we see these volatility fluctuations. But, our base business tends to be pretty steady. And Shaun, I guess that's the best way to explain it. We had more Chinese play last year than we did this year, and I mean a place like our own, we can make $60 million in a month in this hotel or $70 million. We can also make $25 million, and as I say, it evens out at the end. But when you look at it, short term, as we do every six or eight hours a day, I do at least, I'm in the casino every day and on the phone with my people. We've readjusted our floor on the Fourth of July and interestingly enough, many of the games in Las Vegas have become marginally profitable. Years ago down at Binion's, they started at the crap table of giving ten times odds. If you bet $100 on the line, you could bet $1,000 on the free odds behind the line if you bet the pass line. I'm getting a little technical. But in the old days in dice, whatever you bet on the line you could bet the same amount behind the line, and that was a hold percentage of a little under 1%. Then they started giving double odds compared to the amount of money you bet on the pass line, and that lowered the house percentage to 0.57%. Then there became a pattern on the strip of what's called the three, four, five. Depending on what numbers you were betting on the crap table to come up before number seven came up, you could get three times odds, four times odds, or five times odds. There are pairs of numbers on a dice table. Four and ten have two to one odds, five and nine have a different set of odds, and six to eight or six to five. Well, depending on what number you were trying to get, you could get three, four, or five times odds. That became a house advantage of 0.37%. With three dealers and a box man and a half of a floor man for every table, craps is not a really profitable game at that level. So I changed the casino. In effect, I raised the price, and I went to double odds only except for extremely high play with $1,000 minimum bet. I also rearranged the floor in the casino to put our specialty games that are very popular with the public that have a higher margin and I put them in the 100% location and I moved my games with less of a margin to secondary locations. Those changes have worked out favorably to us in the past three weeks, and that kind of re-examination – our slot floor has been redone. We win more money with less games now. These are some of the reasons why we make more money than anybody else in Las Vegas. Now some of the operators will copy us. We're not allowed to talk to one another because of obvious legal implications of price-fixing, but we don't really care what the other guys do. We run our own business the way we see we should, and we're not in business to offer games that don't make money, and I don't mind saying that publicly. So, we've done quite a bit of work in tightening up the way the casino works, and I know our competitors are on the call and they probably – everybody knows that the minute you make a change like that in Las Vegas, it goes around town like a wildfire. But those are some of the things we're doing and it touches every aspect. We're constantly re-examining everything we do here. We sit in my office and discuss the most fundamental aspects of this industry every single week, and we take nothing. We are not so much concerned of what has been or what is as we are concerned about what might be, and that's a principle truth of our company, whether it's in China or in Las Vegas or Boston or wherever. Next question?
Shaun C. Kelley - Bank of America Merrill Lynch: Very helpful. Thank you.
Operator: Our next question comes from the line of Harry Curtis with Nomura.
Harry C. Curtis - Nomura Securities International, Inc.: Hi, Steve. To segue back to Macau about government policy, and I'm interested in your view on how encouraged you are about the government's relaxation of the transit visas and probability that they're going to leave the smoking lounges intact. What message do you take from that?
Stephen Alan Wynn - Chairman and Chief Executive Officer: Well, the message I take is that acting as a group with respect and a good deal of humility that our conversations with the government do not completely fall on deaf ears, and both of those examples you just gave are examples of the government taking input from the gaming operators and reacting in what I think was an intelligent and appropriate way. We have a continuing dialog with the government because their major interest is to protect the security of the jobs of the people in the city, to keep harmony, tranquility and even a very positive attitude among the citizens, whether it's in Hong Kong or Macau, about the future. Our job as agents of change is to give input to the government, in advance if possible, of what the consequences of a given change in public policy might be. We do so with respect and as I say, we approach them with gratitude for being able to be there in the first place. It's been a wonderful business experience comparable to none that I'm aware of. And so, when we talk to the government, we do so constructively, and what we can do appropriately is to tell them what we think the consequences of a given situation will be. We don't pound the table or make any demands. We strictly say, if you do that, this is likely to happen. If you do that, then there'll be another result, and we'll do our best to accentuate the positive and eliminate the negative, to quote one of Johnny Mercer's old lyrics. So, I was glad to see that they allowed the smoking rooms. There was no reason not to, and Secretary Tam, who is very concerned about public health, finally felt as if it was okay to allow the smoking rooms to continue, and that's a good thing. The relaxation of the visas to allow people in China to travel freely is consistent with the reform-mindedness of Xi Jinping's government and I think consistent with the attitude of the local government as well.
Harry C. Curtis - Nomura Securities International, Inc.: I did have a follow up in Las Vegas. Just sticking with the demand on the non-casino side, and maybe, Matt, you have a sense and can put some numbers behind it. But how do you expect the balance of this year to look as far as bookings and room pricing for the balance of this year and into next year? Does there seem to be some good, some strong demand relative to 2015 building in 2016?
Matthew O. Maddox - President: Yeah, sure. Maurice?
Maurice Wooden - President, Wynn Las Vegas, Wynn Resorts Ltd.: Yes. So, going forward as we look at the rest of this year, I think we'll be up slightly. I would say we're probably within 5% to 7% with respect to growth on our ADR. Going back to the point that Stephen made on the non-gaming side, the second quarter actually was our best non-gaming revenue quarter ever in the Wynn Las Vegas history. And so, we feel that there is steady growth within all operational areas that are non-gaming. And again, as Steve pointed out, the only issue that we have here with respect to trying to forecast would be the international volatility on the gaming side.
Harry C. Curtis - Nomura Securities International, Inc.: And is a range of 5% to 7% a reasonable expectation for next year based on what you've got on the books already?
Maurice Wooden - President, Wynn Las Vegas, Wynn Resorts Ltd.: It is.
Harry C. Curtis - Nomura Securities International, Inc.: Okay. That's great. Thanks.
Operator: The next question comes from the line of Felicia Hendrix of Barclays.
Felicia Hendrix - Barclays Capital, Inc.: Good afternoon. Thank you. Steve, you just talked about the policy change in Macau, or some of the policy changes, and how gratified you are that the government seems to be listening to the operators, which is certainly a positive. But I'm curious regarding specifically the transit visa change, have you seen or do you expect to see any improvement in demands from that? And then also, do you think the current volatility in the Chinese stock market and slowing economy there could have an impact on demand in Macau?
Stephen Alan Wynn - Chairman and Chief Executive Officer: What an interesting question. My colleagues in China can tell you the visa aspect. The stock market question I'll deal with. What do you say about the visas, Linda? Gamal? How do you feel about that?
Gamal Aziz - President, Wynn Macau, Limited, Wynn Resorts Ltd.: We're hearing – Steve, the area that we're having the most growth is in the mid-tier of our mass business, and in conversations with a lot of our marketing executives that they're saying that in the last couple of months since the relaxation of the visa, that they've seen an increase in the volume from that particular tier that Ian called the business class. So, it seems to be working, but only for that segment of the market.
Stephen Alan Wynn - Chairman and Chief Executive Officer: With regard to the stock market, the government in an attempt to stop a sell-off, imposed restrictions on people's ability to trade securities. I am not an expert on China and I'm not even a Wall Street expert, but I am a person who's been in a public company for 40 years. And my own experience, had I been consulted, I would've said don't do that exactly because if someone thinks that you're going to close the door on their ability to sell or trade their shares, you can only do that for a certain length of time and then the minute you finish doing it, the people scamper for the door because there's a loss of trust. So, interfering with the markets tend to produce – is counterproductive. It tends to accentuate people's insecurity which leads to selling. So, I hope that they're relaxing that, they're backing out of that, and I hope they do it more affirmatively for the sake of the market. Now, that's not really my concern because, our stock can trade at level A or level B. We don't pay very much attention to our stock price per se, we pay attention to the underlying performance of the company, and those factors associated with performance that are within our control, which is why every week we grind on everything in this building from the use of every square foot of our real estate and our structures, to our plans for the future. But the stock price and other stock prices in China have been subject to some great volatility lately, and I don't know that shutting the door on trading is a long-term healthy move. But, again, I'm not part of the planning people that run such things, and I know that historically that sort of thing has produced the opposite effect that it attempts to create.
Felicia Hendrix - Barclays Capital, Inc.: Maybe, Gamal, have you heard from any – or Linda, have you heard from any of your people if the activities there are having an effect on demand at all?
Gamal Aziz - President, Wynn Macau, Limited, Wynn Resorts Ltd.: Not from our team, Felicia. But you're hearing in the market that all these margin calls that are taking place are going to affect the junkets and their ability to collect the junkets themselves. Some of them were involved in the market. But all of this is in my opinion just short-term noise. And I don't think it's going to have any long-term effect.
Felicia Hendrix - Barclays Capital, Inc.: Okay, great. That's helpful. And then, Steve, just as my follow-up, I'm just wondering if you can update us on the latest of what you're hearing from Japan? Are you getting the sense that gaming legislation could be closer?
Stephen Alan Wynn - Chairman and Chief Executive Officer: Matt was there two weeks ago. I'll let him answer.
Matthew O. Maddox - President: I think that they have a lot of very complicated legislative issues in Japan, and that the Integrated Resort Bill is not at the top of the list. It's important to the LDP, but there are things that are much more important, so I still am in the wait-and-see mode.
Felicia Hendrix - Barclays Capital, Inc.: Okay. Thanks, Matt.
Operator: Our next question comes from Thomas Allen of Morgan Stanley.
Thomas G. Allen - Morgan Stanley & Co. LLC: Hey, good afternoon. So in the past few months there's been some speculation in the press about potential M&A in the gaming space. So, just like to hear your thoughts about the potential of M&A in gaming and maybe Wynn's appetite to participate? Thanks.
Stephen Alan Wynn - Chairman and Chief Executive Officer: Our approach to that issue is very simple to explain. Any time that a construction project, a change in operating procedure or an acquisition or a merger would result in a stronger company at the conclusion of such a transaction, we are very interested in it, we discuss it extensively and then follow through if it's appropriate. As we sit here today, we've never had such a opportunity presented to us that we thought was acceptable. That doesn't mean that at some point in the future such a thing couldn't happen, or that such an M&A, to use your term, a merger and acquisition, would make sense. But big for the sake of big is not a thing that I subscribe to, as you know, and I've said so before. We have a certain kind of a brand. It is flexible and adjustable for sure. But on the other hand, I'm more interested about tomorrow's newspaper than yesterday's newspaper. And we do a certain thing very well. We build and develop projects that usually room for room, inch for inch, pound for pound outperform the neighbors. The best place to see that at the present time is Las Vegas. As far as Cotai goes and Macau, when we open Wynn Palace, we're going to get a much more interesting comparison about the performance of the horses in the race. We're about to enter the starting gate in Cotai in a few months and then we're going to have a real interesting turn around the track. But, as far as today, M&A is the kind of option that of course always exists. I mean for a price you can buy anything, I suppose, and some people find it in their mutual best interests to join up from time to time, because the net result is that two and two equals five. But really it has to be two and two equals five. If two and two equals four, it seems to me a lot of trouble for nothing. I'd rather build our own stuff. Is that a helpful answer to you?
Thomas G. Allen - Morgan Stanley & Co. LLC: It is. Thank you.
Stephen Alan Wynn - Chairman and Chief Executive Officer: I don't have anything to report today. We're not involved with any active discussions at the moment. We talk about everything among ourselves, of course.
Thomas G. Allen - Morgan Stanley & Co. LLC: Thanks.
Operator: The next question comes from Robin Farley.
Robin M. Farley - UBS Securities LLC: Great. Thanks. I wonder if you could give a view for the opening of Wynn Palace. I understand that you have the workers there, that you're fully staffed in terms of construction workers. But do you think that given maybe kind of the soft opening post the Galaxy opening that the government may want to further spread out the opening of new supply and new resorts into the market?
Stephen Alan Wynn - Chairman and Chief Executive Officer: Robin, that question assumes that I know what the government has in terms of its long-term strategy about employment. The only thing I know about the government that we get from them is they really want to see, number one, people who live in Macau being promoted from within, which is of course one of our major goals, and I can say one of our major accomplishments. They want a better life for the people that work in the industry and all of our employees are shareholders in this company, 100% of them. As for whether they want to spread out the openings or they're actively – your suggestion, I guess, means would they do something to delay an opening in order to spread it out?
Robin M. Farley - UBS Securities LLC: Yeah.
Stephen Alan Wynn - Chairman and Chief Executive Officer: Well, I've never been told that that was their goal, nor have I ever heard from a third party that they wanted to do that. You could surmise that by restricting the flow of construction workers that it had that effect, but there are similarly other explanations for the amount of construction workers that were parsed out in the past having to do with traffic and congestion and local population being distressed if the streets are overcrowded and things like that. The government is very sensitive to the mood of the public in Macau. They had those demonstrations in Hong Kong and they didn't have any in Macau. And that, of course, is favorably observed by the central government and is one of the major goals of the Chief Executive, Fernando Chui. He wants harmony in the city, and I think that most of the decisions that he's made have been to create that environment. I don't think they've ever tried to stop somebody from opening, and I'd be surprised, Robin, if that philosophy was ever articulated. But it certainly hasn't been to us.
Robin M. Farley - UBS Securities LLC: Okay. Thanks.
Stephen Alan Wynn - Chairman and Chief Executive Officer: Sure.
Operator: And there are no further questions at this time. Do you have any closing remarks?
Stephen Alan Wynn - Chairman and Chief Executive Officer: No. Does anybody in the family, Gamal, Linda Chen, Ian, Frank, over in Macau, Maurice do you have anything you'd like to add on behalf of the American operation? Steve Cootey?
Stephen Lawrence Cootey - Chief Financial Officer, Treasurer & Senior VP: No, all finished.
Stephen Alan Wynn - Chairman and Chief Executive Officer: Kim, on the legal front, do you have...?
Kimmarie Sinatra - Secretary, Executive VP & General Counsel: I have nothing to add.
Stephen Alan Wynn - Chairman and Chief Executive Officer: We're hopeful that in Massachusetts at some point in the near future we'll be treated with a little softer hand considering that we're the largest single private investment in the history of the state, and that we're bringing to that town non-casino attractions that have never been around. We've never been a resino or a riverboat operator. We build resorts that are much more extravagant and attractive than they would be were it not for the fact that somewhere down the hall there's a gaming room. But we're basically in the resort business that has casinos included, and what we're bringing to Boston is a destination resort. And as the publicity has shown that we've experienced a little bit of buffeting politically, and we're sort of plowing ahead anyway. We receive encouragement from many quarters in that community, but we get resistance from others because the casinos seem to be such a prize for whatever local community to take advantage of its presence in that community that Boston has been rather critical of us because we weren't in Boston, but we are in Everett. And in Everett, Massachusetts, we once tried to go to Boston, but the – near the convention center when this all started. And the man in charge of conventions said, no, forget it, that property is not available. It was right next door to the convention center. So, Matt, went down the Street to another town, Everett, who are glad to see us, but unfortunately said you're going to have to clean up a chemical dump site in order to do it on the Mystic River. Well, we thought it was worth the trouble, so we went to Everett where 86% of the population was delighted to see us, and voted to say so. And then finally the citizens of Massachusetts in a plebiscite voted to support the legislation that invited a company like ours to Massachusetts. So, the table seem to be set for – the welcome mat seemed to be out. We just haven't found the welcome mat yet, but I'm the internal optimist, and I hoping it'll feel good when they stop hitting us. And I think that's my last comment today. Thanks everybody. Talk to you in 90 days.
Operator: Thank you. This will conclude today's conference call. You may now disconnect your lines.